Operator: Greetings, and welcome to the IZEA Inc. First Quarter 2016 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 I'd now like to turn the conference over to your host, Mr. Ryan Schram, Chief Operating Officer. Thank you, Ryan, you may begin. 
Ryan Schram: Good afternoon, everyone, and welcome to IZEA's Q1 2016 Earnings Call. I'm Ryan Schram, Chief Operating Officer at IZEA and joining me on the call this afternoon is IZEA's Chief Financial Officer LeAnn Hitchcock; and IZEA Founder, Chairman and Chief Executive Officer, Ted Murphy. 
 On behalf of our entire team at IZEA, we're very pleased to have you with us today. Earlier this afternoon, we issued a press release with additional information regarding IZEA's first quarter performance. 
 As a reminder, all of our Investor Relations information can be found on our corporate website at corp.izea.com. 
 Please note that during the course of today's call, our management team will discuss IZEA's business outlook and may make forward-looking statements regarding the company that are pursuant to the safe harbor provision of the federal securities laws. 
 These statements are predictions based on our team's expectations as of today. Actual events or results could differ due to a number of risks and uncertainties, including those mentioned on our most recent filings with the SEC. The company and the management team assume no obligations to update any forward-looking statements made during this call. 
 With the appropriate disclosures out of the way, I'll turn the call over to IZEA's Chief Financial Officer, LeAnn Hitchcock, to walk us through a summary of the company's performance in the first quarter of 2016. LeAnn? 
LeAnn Hitchcock: Thank you, Ryan, and good morning, everyone. I am pleased to share that IZEA had another record quarter. Net bookings increased 71% to a record $7.4 million compared to $4.3 million in Q1 2015. 
 IZEA reported quarterly revenue of 32% to $5.5 million compared to $4.1 million in the prior year quarter. This increase is primarily attributable to the creation of our Content-only revenue stream due to the acquisition of Ebyline and continued increases in our existing Sponsored Social revenue. 
 Sponsored Social revenue was $2.9 million accounting for 53% of total revenues in the quarter. Content revenue was $2.5 million, accounting for 45% of total revenues in the quarter. We are continuing to see larger deal sizes that extend over longer periods of time, which impacted our near-term revenue recognition. 
 In order to provide more clarity to our investors, we are introducing a new key performance indicator called revenue backlog, which we will report moving forward. 
 Revenue backlog consists of unbilled bookings for campaigns, which have not yet started as well as unearned revenue for campaigns that have been billed, but are not yet completed. 
 Revenue backlog at the end of the quarter was $9 million, including unbilled bookings of $5.6 million and unearned revenue of $3.4 million. Over 95% of the current revenue backlog is expected to be recognized as revenue in this current fiscal year. 
 Gross profit for the quarter increased 40% to $2.4 million as compared to $1.7 million in Q1 2015. The increase in gross profit is attributable to the increase in revenue during the quarter, along with improved margins on that revenue. 
 Gross margin for the quarter was 43%, up from 41% in the prior year quarter. This gross margin improvement is primarily due to improved profit margins on Content revenue, as we have shifted the focus from the newspaper client base to brands. 
 Our Content gross margin increased 900 basis points to 19% versus 10% in the same quarter last year. We expect margins on Content revenue will continue to improve over time due to growth in brand-centric content creation. 
 Sponsored Social gross margin was 62%, up from 56% in Q1 2015. Operating expenses in the first quarter of 2016 were $4.9 million compared to $3.4 million in the same period last year. Operating expenses increased as a result of a $1.2 million increase in personnel cost and other variable expenses due to increased personnel. 
 We increased the average number of personnel by more than 25% to 128 members by the end of March 2016. We also increased salaries for existing personnel and added senior team members after Q1 2015 that attributed to the large increase between quarters. 
 Commission expense included in personnel costs also increased as a result of the increase in revenues. 
 Depreciation and amortization expense increased by approximately $122,000 as a result of the amortization of our software development costs and intangibles acquired in the Ebyline acquisition. 
 We still expect that growth in expenses will outpace the growth in our gross profit near term, as we expand our personnel to support our managed Content business and as we increase our engineering expenses to improve and support our web-based platforms and IZEA partners.
 These investments are being made in order to provide the infrastructure to create continued revenue growth at higher margins in the coming years. 
 Adjusted EBITDA for the quarter was negative $2 million compared to negative $1.4 million during the same period last year. The decrease in adjusted EBITDA is primarily due to the continued investments in personnel after Q1 2015. 
 Net loss for the first quarter of 2016 was $2.6 million compared to a net loss of approximately $4.3 million in the first quarter of 2015. 
 Loss per common share for the first quarter of 2016 was $0.49 compared to a loss per common share of $1.48 in the prior year quarter. This is primarily due to a $2.5 million difference in the change in fair value of the company's derivatives and the increase in personnel costs between the periods. 
 As of March 31, 2016, we have $10.1 million in cash on hand, a positive working capital balance and stockholder's equity of $12.7 million. In addition to our cash on hand, we continue to have an untapped $5 million credit facility with Bridge Bank. 
 In January, we affected a 1-for-20 reverse stock split in order to allow our stock price to be trading at a level sufficient for us to trade on a major exchange. All share and share price amounts disclosed in this call and in our quarterly report are adjusted to account the effect of this reverse split. 
 The tremendous improvements in our financial position throughout 2015 and the reverse stock split in January allowed us to accomplish our goal to trade on a major exchange. 
 In late February, we completed a successful uplifting to the NASDAQ stock market, and then we rang the opening bell at the NASDAQ market site on March 4. 
 I will now pass it over to Ryan to speak about our client development and corporate partnership results from the first quarter. 
Ryan Schram: Thanks, LeAnn. As our client development team embarked on 2016, there were 3 key priorities that we believe will be central to our success this year. First, to continue to capitalize on the incredible relationships our client development team has nurtured over the years by delivering highly measurable results and a world-class customer experience. Second, to develop new opportunities to cross-sell and upsell within the business, not only with influencer and content marketing, but with new exciting amplification possibilities as well. 
 Third, to identify and secure the absolute best solution-selling Content in the industry in order to grow our team structure intelligently and to scale the business effectively with a view on the long term. 
 I'm pleased to report that our Q1 performance represents a very strong start to 2016 and execution by our team against these key priorities. 
 As LeAnn highlighted, our bookings in the quarter increased 71% to $7.4 million versus first quarter of 2015. This not only represents our sixth consecutive quarter of record booking, but it also tells a deeper story about the continued interest in the influencer and content marketing categories as a whole. 
 Our Sponsored Social business grew more than 78% year-over-year in Q1 and our virtual newsroom content production business grew over 57% in that same period. The company's average deal size grew more than 68% from Q1 of 2015, as client budgets continue to increase and IZEA becomes a more integral part of their marketing effort. This has had an impact on near-term revenue condition as engagements continue to get longer, but also underscores a long-term growth trend that we're experiencing as a company. 
 Beyond product mix and deal size, our leadership team is also keeping a close eye on the ratio of new versus existing business as the company rapidly grows. In the first quarter, roughly 60% of our net bookings were derived from existing clients, while 40% came from clients who are new to the IZEA family. These are exceptionally healthy rates that signal loyalty from returned customers as well as large opportunity coming in from folks, who are engaging us for the very first time. 
 During the first quarter, we were pleased to welcome back loyal brand clients, including Bed Bath & Beyond, Chase, Clorox, Calvin Klein, Furla, Frito Lay, Kraft, Microsoft and Toyota. Our client development group would also like to welcome, acknowledge our current incredible new band partners to IZEA, including Disney consumer products, GSK, Onex, Metal, Sam's Club and Subway. While all of that was occurring, our client development team was also busy creating new pipeline for the business. 
 As discussed on our Q4 2015 earnings call, we feel very positive that our different pipeline to $24.8 million from that quarter was simply a seasonal blip on the radar due to timing of religious holidays and a change in our methodology. 
 To that point, our team roared back in Q1 2016 with $34.7 million of active proposal pipeline during the period, up from $19.4 million in the first quarter of 2015. 
 Integral to our effort is not only winning new business, but keeping clients coming back to IZEA again and again by building a world-class customer experience apparatus. These initiatives are led internally by our Executive Director of Client Services and Strategy, Crystal Duncan and our Director of Customer Experience, Jennifer Carey. 
 I want to take a moment this afternoon in the call to recognize their hard work and thank their teams for their tireless commitment to advancing IZEA and hugging our clients each and every day. 
 Now a quick word about the excited developments in our corporate partnership ecosystem. IZEA's overarching goal is not to be an agency by form or function. Instead, as a technology company what we seek to provide our clients are solutions that are responsive to their needs. Today, we offer 3 ways to engage IZEA for influencer and content marketing: first, our self-service marketplace for SMBs available online at izea.com and izea.ca in Canada; second, our managed service business, where our team of experts leverage the IZEAx technology platform on behalf of brands, agencies and media companies; and third, our corporate partnership licensing unit, which provides agencies and media companies a fast solution to conduct high-profile campaigns for themselves utilizing the IZEAx platform. 
 As Ted and I've stated on our previous earnings call, our goal is to add $1 million of deal flow in addition to software licensing fees through the corporate partnership development team in 2016. 
 Our progress in Q1 positions us well to achieve that target. In fact, as of the end of the quarter, we have succeeded in reaching 25% of this goal, and we believe the ramp will accelerate over the course of the year. 
 Outside of partnership conversations within the U.S. and Canada, we have also uncovered a significant opportunity to license the IZEAx platform in geographies around the world, where we do not intend to deploy our own human capital. 
 In these instances, IZEA engages agencies and media companies to not only license a white label version of our technology, but whom are provided access to our business intelligence and proprietary marketing insight. The companies create own localized version of IZEA's offering, custom tailored to the culture and geography in which they operate. An example of this is the partnership that we recently announced with Hashtag Social Media, an agency based out of Dubai. 
 Our team believes that there are plenty of countries, where the IZEAx platform and our business know-how can be highly beneficial to agencies and media companies alike, who wanted to enter the influencer and content marketing arena, but simply do not have the desire to apply expansive capital to build the infrastructure themselves, or to build a global creator network to accommodate the deal flow. 
 This was a natural extension for IZEA as both assets are things we've been investing in actively and extensively building out for almost a decade. 
 Now for additional commentary on the company's continued growth and perspective on our go-forward strategy, please welcome IZEA's Chairman and Chief Executive Officer, Ted Murphy. Ted? 
Edward Murphy: Thank you Ryan. As we began 2016, the IZEA leadership team set out some clear objectives for the company to accomplish over the course of the year. 
 Our first objective is to grow IZEA's annual bookings in excess of $33 million and create the infrastructure required for even greater growth looking forward. 
 We remain laser focused on our $100 million annual bookings target in 2018. And we know the investments we make today, provide the platform of tomorrow. 
 Our second objective is to optimize and streamline operations throughout the organization. Our primary focus will be on improving gross profit margin, revenue per employee and OpEx to revenue ratio. 
 Our third objective is to drive technology enhancements in IZEAx, making it more valuable and powerful for the creators, brands and agencies we serve. I'm pleased to share that we made significant progress on all 3 fronts in Q1 and our team is working diligently to achieve these goals. 
 Our record bookings in Q1 provides us with a strong foundational start to the year, but perhaps, more important is the significant increase in gross profit margin, specifically, in our Content business. 
 When we acquired Ebyline in January of last year, one of our core assumptions was that we would be able to dramatically impact the percentage of dollars that flow into the bottom line. In the 1-year since acquisition, we have nearly doubled our gross profit margin from 10% in Q1 of 2015 to 19% in Q1 of 2016. We are proud of what we've accomplished here and believe there is still plenty of room for improvement. 
 In addition to the gains we are making in margin, we are also recapturing hours and inches throughout the company. We are achieving this through continual process improvement and technology automation wherever possible. 
 In Q1, our engineering team deployed 46 releases of IZEAx, creating a constant stream of feature enhancements, bug fixes and user experience improvements. We also released a major upgrade, including SocialLinks Version 1.1, Enterprise Content Ordering, Advertiser Lists and the creation of the first network for virtual reality influencers within the platform. 
 These enhancements are all exciting, however, much of the best engineering work is happening behind the scenes, our new services that will be unveiled in the future. A large portion of our development efforts are being put towards what we define as the flywheel. Flywheel development efforts are designed to address the performance marketing segment. 
 A large segment of online ad spending, which is completely untapped by our organization. We are very bullish on this segment and look forward to sharing our solutions for these marketers in the future. 
 In August 2015, IZEA began sales operations in Canada. Since then, IZEA has executed campaigns for some of the country's largest brands, including Rogers, Weber, KFC, BMO, HPC and Loblaws. 
 In March, we formed IZEA Canada Incorporated. The formation of IZEA Canada reflects our optimism for the region. We believe that this market is rapidly maturing and our commitment to expand our Canadian team will help us capture that opportunity. 
 Much as we work directly with the FTC to help craft guidelines in the early days of Sponsored Social in the U.S., IZEA is making those same strides in the Canadian market as an early pioneer in that geography. IZEA is now an active member of the Advertising Standards Counsel, or ASC, in Canada. Our team is now working with the ASC to help define best practices in the country and providing our thought leadership, given our 10 years of experience in this space. 
 As I've mentioned in the past, we believe that our industry is ripe for consolidation, and we have seen a number of acquisitions in and around the space. IZEA plans to make a handful of acquisitions over the coming years. We are seeking companies that are aligned with our core business and complement our people and culture. Acquisitions must be accretive for our shareholders and make sense for IZEA within the constructs of our own balance sheet and market cap. While no transaction is eminent, we continue to work through diligence on several companies, which we have interest in. 
 Of all of our accomplishments in Q1, perhaps, the greatest is our uplifting to NASDAQ after 4 years on the OTC. We are already starting to see the positive effects of uplifting on liquidity and investor interest. 
 Our partnership with ViOS in Q1 has been positive, and we are meeting with an increasing amount of new investors through conferences and nondeal roadshows. 
 I will continue my travel to meet with investors in major markets, around the country, over the coming months. If you're the right to arrange a meeting with me while I'm in your city, please reach out to Ron Bolt at ViOS. 
 Thank you for spending your time with us this afternoon. I would now like to open the call up for Q&A. 
Operator: [Operator Instructions] And our first question comes from the line of Matt Tiampo from Craig-Hallum. 
Matt Tiampo: Maybe we can start with the bookings and revenue. It seems like the relationship there is breaking down a little bit in terms of how bookings flow to revenue, and just wondering if you can help provide us with some guidance, or some of the related forecast, how those 2 are really related as we move forward? And whether or not that bookings metric is really a useful modeling metric given the size and dynamics there? 
Operator: Ryan, you're line is -- hello, Ryan, can you hear us? 
Ryan Schram: We didn't hear you. Can you hear us? 
Operator: Yes, we can hear you, Ryan. 
LeAnn Hitchcock: Okay. Matt, I'd like to address that question really by directing you to look at the backlog number and that's why we put that in this quarter because we're finding that at times it's getting increasingly more and more difficult to timeout exactly when the revenue is hitting. And so if we're looking at it in the booking plus or unearned revenue that's been there in the backlog of what has not yet been billed, that has been helping to predict what that revenue is going to be for the quarter. But as customers want to push off their campaign and the timing of that, we often have no control over that. But that's why you've seen the backlog grow. It was $7.4 million in Q1 and has grown to $9 million here in Q2. And therefore, the offset to that was the lower revenue, because they pushed it off until a future quarter. And as we're getting these larger campaigns, they're spreading the amount over the years opposed to just within 90 days. And so we're averaging more, a 120 days, plus on those as opposed to where we were at the 90 days. 
Matt Tiampo: Okay. So is there an overlap between revenue backlog and bookings? Or are those usually through the buckets? 
LeAnn Hitchcock: No. It's the backlog from a prior quarter and then we're adding those bookings in -- is where it comes. So if we book nothing else the rest of the year, it would -- we already have revenue of about $14.5 million that would be recognized this year. 
Matt Tiampo: Including Q1 revenue or to go remaining that? 
LeAnn Hitchcock: That would be -- that's including the Q1 revenue, yes. 
Matt Tiampo: Okay. I think I've got it. Maybe just next on gross margin. Clearly, a bright spot in Q1 and obviously, congratulations on the progress that you made with Content, but I just want to make sure there was nothing sort of anomalous on either the social or the Content side in the quarter in terms of gross margin and then also, I mean, how far do think you can take the Content gross margin? What's the potential feeling there just given sort of how mix changes here? 
Edward Murphy: I'll take that. Can you hear me, Matt? 
Matt Tiampo: Yes. 
Edward Murphy: Okay. Great. So on the Content side, what we are putting in front of brand customers on the Content side is largely in line with what we're doing on Sponsored Social. So -- or in line with what we're doing on Sponsored Social. So we expect that we can continue to increase that over time, as the brand part of the business becomes more and more of that Content mix. 
Matt Tiampo: Okay. That's very helpful. Maybe just last one for me and I'll hop back in the queue, but how is the affiliate marketing program with eBay progressing? 
Edward Murphy: Yes. I would say that that is still very much in its early days. We are definitely seeing increasingly or increasing amounts of participation from the creators. One of our concerns is we're not seeing the type of conversion ratios that we've seen in some other programs. So we are working on tweaking that so that we're optimizing for CPA because that's how we're compensated on that. So that's going to be an ongoing process, but we are also working on other opportunities with other e-tailers that we think may have different types of conversion rate, given the types of products that they have. 
Operator: [Operator Instructions] And our next question comes from the line of George Kafkarkou, private investor. 
George Kafkarkou: Very solid from what I can detail here from the numbers. There was something that I didn't quite understand. Could you just describe what flywheel is again, did I hear that correct? Flywheel is that right? 
Edward Murphy: Yes. Yes. So we broadly put all of the things that we're working on that are in that performance, marketing industry, under flywheel. So when we think of flywheel, we think that there is an ability to work with performance marketers in a different type of arrangement, whether that be cost per click, cost per action, cost per install. Those are all things that we don't currently offer through our platform. So the eBay integration that we've done with SocialLinks, that's our first CPA type integration. And in the future, you will see other flavors of performance marketing that are available to our customers. And we think that that is a very large opportunity for us. We see the type of spending that is being done for contents indications for companies like Outbrain and Taboola the huge move for performance marketers into platforms like Facebook and Twitter. And we think that right now we're frankly just leaving dollars on the table. So we put all that under flywheel, and that's largely because the majority of those performance marketers are in kind of set it and forget it spending mode, where as long as the ROI is able to be dialed in and they're paying strictly per performance, they tend to spend on a monthly basis over and over and over again without the need to really go back in and resell those customers. 
George Kafkarkou: And this activity, when you can enable this in the IZEAx platform, it sounds purely incremental, right? There's no overlap to the existing bookings activity, correct? This is in -- direct for booking. 
Edward Murphy: That is correct. If you think about the clients that we go after right now and that we currently work with, they are largely focused on branding and affinity and awareness. And while we certainly measure performance and provide all that information back to them, they are not what we would consider performance marketers, or direct response marketers in the strictest sense of the term. 
George Kafkarkou: And you guys got to this conclusion about flywheel just in Q1, or is it something you've been working on for a long time? 
Edward Murphy: It is something that we've been -- that we've been building up the pieces for. Part of the core technology that we announced when we first unveiled SocialLinks, last year at IZEAfest provided the foundation for these flywheel opportunities moving forward. 
George Kafkarkou: Okay. Okay. What -- was this the reference to your quick tick tweet that said great idea, game changing, incremental whatever it was, or is that something... 
Edward Murphy: There are number of things happening, George. Honestly, a lot of these things kind of play together. And we're really excited about what we're working on the engineering front and the opportunity it will create long term for us. 
George Kafkarkou: Okay. Okay. You touched on the reinvigorated activity with ViOS, your IR firm conferences, could you just spend a few minutes on how you guys think about that? I mean, IZEA seems to be in a fabulous space, you guys are delivering world-class execution, quarter-on-quarter. It's quite incredible what you guys are doing in my opinion. And yet as of 3:55 today, there are only 10 shares traded. How do you guys think about the work that you're doing now in the IR side? 
Edward Murphy: Yes, I think that it's a process, right, and part of what we had to do was get this uplifting behind us, get our Q4 numbers behind us and now we have another proof point in Q1. So I don't think that this is going to be an overnight process. I believe that we really got to put in the hours and be very strategic in the way that we're approaching awareness and trying to create liquidity. But I believe that if we continue to execute and do well as a business that eventually the liquidity and hopefully the price along -- accretion along with it will happen. But it's a process that we're working through with ViOS and putting in the time and meeting with as many people as we possibly can to at least get on their screen. 
George Kafkarkou: Right. How do you guys think about the average deal size. Each quarter, the average deal size is growing significantly, that's very clear. But clearly, we're seeing a lot of the revenue that will be generated from these bookings will be deferred revenue recognized later. At some point, with more bigger deals, with more seven-figure deals, for example, a lot of the revenue recognition will fall into following kind at fiscal years. So I guess, the question is, is there a metric of what the optimum deal size is? How do you guys think about that? And how should we think now about the $34.7 million qualified proposal pipeline that you generated in Q1, which is, I think, the highest in history, I think or very close to it? And it's clearly an impressive number. Have I explained the question, okay? 
Edward Murphy: Yes, I believe so. The average deal size climbing is something that we continue to believe is a positive indicator. It means that now our clients have larger budgets and that they are more and more comfortable providing us with access to those budgets and because 60% of our business is coming from the key clients, we know that we are servicing them properly and they are seeing the return that they're looking for. I don't know if there is such thing as an optimal number, but I will say, we are trying to balance the big opportunities with smaller opportunities that can be recognized faster, but you're correct. We saw, just from Q1 of last year to Q1 of this year, you've got a 68% increase and even if you look at our average deal size for all of 2015 to Q1, Q1 is our biggest average deal size and that's counting the seven-figure deal that we closed in Q4 of last year. So those are all very positive metrics, but I think that I'm not too concerned near term about how -- in what months that revenue is recognized, I'm more concerned with -- are we doing a great job for our clients and are they willing to invest significant dollars with us, and I think that what we're seeing is that the answer is yes. 
George Kafkarkou: Yes. I would agree with that. I mean, especially, if I heard the metric correctly in Q1, 40% of revenue or bookings, I'm not sure, which came from new customers, is that correct? Did I hear that correct? 
Edward Murphy: Correct. That's correct. 
Ryan Schram: That's correct. 
Edward Murphy: Ryan gave, yes. Yes. 
George Kafkarkou: So Ryan's comment that if 40% of the bookings or revenue came from new clients, isn't that just a lead indicator that there is just tremendous headroom here? 
Edward Murphy: I believe so. I'll let Ryan speak a little bit more to that. 
Ryan Schram: George. You hear exactly right. I mean, the thing for us is that we would be overly concerned, frankly, if the ratios were leaning towards a lot of new and very little returning as the company scaled, in my experience, a 60-40 mix of existing versus new on a bookings perspective is almost exactly what you're looking for in a organization like ours. I'd also say that what's interesting is that when you look at the types of business, like I mentioned, one of our tenants this year, was really focusing on being able to take long-term Sponsored Social customers and introduce them to our content marketing production arm, virtual newsroom. And those conversations continue to grow as well. So for us, I think that the adjustment of what -- your question started about bookings to revenue and Ted's point is spot on. To some extent, we're a victim of our own success and that we're able to grow all these things all at the same time. And if someone would say to me, would you like a bigger customer who's going to spend money with you throughout the year versus a one-off smaller campaign, I imagine that you'd know my answer. 
George Kafkarkou: Yes. I mean, a 60-40 relationship at this point given your last 7, 8, 9, 10 quarters is more than impressive, and I'm just trying to understand how you guys think about that, would you expect that to continue? 
Ryan Schram: I mean, that's our goal. We'd like to see that ratio in this year of substantial growth against the guidance that Ted has provided to our shareholders. If it stay at those same ratios moving forward, I would say that's a gold star effort by our team. 
George Kafkarkou: Okay. Fantastic. Do I have the opportunity to ask a couple more questions or should I get off guys? 
Ryan Schram: Please go ahead. 
George Kafkarkou: Just very quickly. The international white labeling localizing offering for IZEAx, should we be thinking about European territories just distinctly? I mean, it's very topical with Brexit going on rather than a European offering. Are you talking -- are you guys thinking of one partner for the U.K., one partner for Germany, one partner for France, each which are huge markets, for example, how do you guys think about that? 
Ryan Schram: I think that when we get into geographical exclusivity, there needs to be a very specific business reason to do it. Our hypothesis going into it is, particularly, in a very large advertising market like the United Kingdom, there is the opportunity for there to be multiple partners in a single territory. Whereas in a more narrow market like a Dubai, it makes more sense to go with one large partner to service that. I'd also -- I didn't mention it in my prepared remarks, but our partnership that we announced last year with WeConnect in Australia, functions with a very similar management of that of Hashtag. And we refer to it lovingly around the office as the McDonald's franchise model. And it basically, if we can put many IZEAs into countries, where we don't tend to place our team and use our assets in a different way, it's a very ample opportunity for us. 
George Kafkarkou: Okay. And the final question on that, is it fair to say that the typical profile of such partners would be your quintessential agencies? 
Ryan Schram: We believe so. Particularly, agencies that have a desire to do influencer or content marketing or both as part of their general practice on a consulting basis. But ultimately, we're seeing interest from agencies of all sorts. Those that focus traditionally on PR, or even brand or digital marketing, all the way into things that are very niche like social marketing, in particular, in the case of Hashtag. 
George Kafkarkou: Okay. Fantastic. Just a final question. How do you guys think of a competitive market space? I'm struggling to find any material competitors in the influenced marketing space. How do you guys think of that? 
Ryan Schram: Well, as you know, we keep a very close eye. I am encouraged by the increasing number of startups and early-stage companies trying to get into the space validates a lot of what we've been -- what we've known for a long time now going out a decade that this was going to be not just an opportunity in the market -- in advertising landscape, but potentially, a real game changer. So to your point, I agree. I don't think that there is any real competitors of scale that we are directly concerned about. But we're always keeping a close eye because we understand that this is going to be ultimately a landgrab game in our perspective and in preparing for the long term and delivering value to our shareholders. Everything that we do from a strategy perspective, all the way down to execution and messaging is hounding on that long-term value proposition. 
Operator: There are no further questions at this time. I'll turn the call back over to management for any closing remarks. 
Edward Murphy: I appreciate everybody's time today. And I just want to reiterate, if you'd like to meet with me as I continue to tour the country and meet with new investors, please contact Ron Bolt at ViOS. Thank you very much, and have a great day. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. We thank you for your time and participation today. You may disconnect your lines at this time, and have a wonderful rest of your day.